Operator: Good morning, and welcome to the New York Times Company's First Quarter 2019 Earnings Conference Call. All participants will be in listen-only mode [Operator Instructions]. I would now like to turn the conference over to Harlan Toplitzky, Vice President of Investor Relations. Please go ahead.
Harlan Toplitzky: Thank you, and welcome to the New York Times Company's First Quarter 2019 Earnings Conference Call. On the call today, we have Mark Thompson, President and Chief Executive Officer, Roland Caputo, Executive Vice President and Chief Financial Officer and Meredith Kopit Levien, Executive Vice President and Chief Operating Officer. Before we begin, I would like to remind you that management will make forward-looking statements on during the course of this call and our actual results could differ materially. Some of the risks and uncertainties that could impact our business are included in our 2018 10-K. In addition, our presentation will include non-GAAP financial measures and we have provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our website at investors.nytco.com. With that, I will turn the call over to Mark Thompson.
Mark Thompson: Thanks, Harlan, and good morning everyone. Well another encouraging quarter, in the first three months of 2019, we saw continued healthy growth in digital subs, as well as further indication of our distinctive approach to digital advertising. Demand for our Crosswords and Cooking products is also very strong in Q1, I have some news to share this morning about our latest product launch. And we're in the final stages of preparation, the debut of our new TV program, The Weekly. But let me begin with journalism. Last month The Times won two Pulitzers, one for our explanatory reporting for Susanne Craig that involves Russ Buettner's 18-month investigation into Donald Trump's family wealth, the one for our brilliant editorial writer Brent Staples, who won The Times first Pulitzer for editorial writing in 23 years. We also shared in the Pulitzer reward to ProPublica's Hannah Dreier for feature writing. Hannah's award-winning work was featured in the New York Times Magazine among other outlets. These are only three of the dozens of awards of journalists have won over the past 12 months. The mission of this company is to deliver great journalism to the world, we attribute the recent success of our digital strategy to the fact that this mission drives everything we do, including our investment decisions. At nearly 1,600 people on using with the largest it's ever been, and we plan to expand it further over the course of 2019. And basically German remains a particular priority. Original times investigations drive user engagement and digital subscriptions, but they also drive America and the world's agenda. The Mueller Report was released last month and it cited The New York Times more than any other news organization, indeed more than 100 times confirming both specific episodes for The Times revealed and the broader portray we painted of how the White House operates. Indeed as recently as last night we published yet another breakthrough story about Mr Trump's taxes in the 1980s and '90s. But let me now turn to our results in the quarter. In Q1, we added 223,000 net new digital subscriptions of which 144,000 were to our core news product. That took the company's total number of subscriptions to $4.5 million. For the first time digital only subscription revenue was more than a quarter of total company revenue. Looking ahead, we expect that as in previous years, we'll see a seasonal dip in the rate of sub growth in Q2. But we remain bullish about our ability to build our present momentum in subsequent quarters. As the coming months, you'll see us make some changes to our pay model. We don't have any details of these changes to share with you this morning, beyond saying that based on extensive testing in the US and other markets, testing, which has given us real confidence that we have the scope to accelerate digital subscription growth even further. I also want to call out the progress we're making with our Crosswords and Cooking products. This quarter the Crosswords product passed the 500,000 total subscription mark, which makes it in its own right, the 5th largest digital subscription product from a US news provider. Cooking is also scaling rapidly and indeed continues to be every internal forecast we set for it. Meanwhile, today, we launched our latest product parenting in beta. Made by parents for parents, this new product brings trademark Times authority, authenticity and edge to one of the most critical parts of many of our users lives. We are very excited about it, as we are about The Weekly, our new TV program for FX and Hulu, which launches in less than four weeks time. I mentioned that we had another very strong quarter in digital advertising, revenue grew 19% year-over-year, with growth coming increasingly from directly sold inventory, in particular related to the large-scale commercial partnerships we're securing, as well as from our total costs and marketing services. As you are aware, we expect the strong growth to continue in Q2 aided in part by comparatively easy comps with the previous year. Our digital advertising strategy is unique in the market and it's working. Print advertising by contrast fell by 12% year-over-year, a return to familiar and somewhat deeper declines after the more moderate trends we saw in the second half of 2018. Total advertising revenue was flat, revenue from print subscriptions also fell slightly in the quarter this time more in line with recent quarters. The good growth in digital revenue more than compensated for print declines and total company revenue grew by 6%. Although, costs were a little lower than our first quarter guidance as suggested, total operating cost was still 7% higher than a year ago. These higher costs largely attributable to the additional investment we're making in our digital business, I mean, despite the increase in revenue, adjusted operating profit fell from $55 million in Q1 2018 to $52 million in 2019. We expect costs associated with this investment to remain elevated in subsequent quarters. But let me now hand over to Roland for more detail on our results.
Roland Caputo: Thank you, Mark, and good morning everyone. As Mark said this quarter represents another strong result and solid progress for the company. Adjusted diluted earnings per share was $0.20 in the quarter, $0.03 higher than the prior year. We reported adjusted operating profit of approximately $52 million in the first quarter, which is lower compared with the same period in 2018 by approximately $3 million. Total subscription revenues increased 4% in the quarter with digital only subscription revenue growing 15% in the quarter to $110 million. On the print subscription side, revenues were down 2.5% due to declines in the number of home delivery subscription, as well as the continued shift of subscribers moving to less frequent and therefore less expensive delivery packages. This decline was partially offset by a home delivery price increase that began early in the year. Total daily circulation declined 8.6% in the quarter compared with the prior year, while Sunday circulation declined 6.4%. Quarterly digital subscription ARPU declined approximately 7% compared to the prior year and approximately 3% compared to the prior quarter, as the number of newly acquired subscribers on promotion was significantly larger than the number of existing subscribers whose promotional offers ended and graduated to full price. This downward pressure was magnified by the $1 per week promotional offer, which was in market during all sales periods in the quarter. We expect that the more aggressive promotional offer, which resulted in strong net subscription additions in the quarter and other promotional tests will continue to put downward pressure on ARPU throughout 2019. Total advertising revenue was flat compared to the first quarter of 2018, with digital advertising growing 19% and print declined by 12%. The increase in digital advertising revenue was largely driven by growth in direct sold advertising on our digital platforms, including revenue sold against our podcast. The print advertising result was mainly due to declines in the studio entertainment, luxury and financial services categories, partially offset by growth in packaged goods, technology and education. Other revenues grew 56% versus the first quarter in 2018 to $43 million, principally driven by growth in our commercial printing operations from the Newsday suite of products and from additional floors of rental revenue from our headquarters building, both of which we'll begin to anniversary next quarter. GAAP operating costs increased 7% and adjusted operating costs increased 8% in the quarter. Costs grew primarily as a result of marketing expenses to promote our branded products, expenses associated with our growing commercial printing business and continued investment in the newsroom. Although cost grew slightly less than we predicted, we remain committed to scaling our digital consumer business and expect spending to continue at elevated levels in subsequent quarters. Our effective tax rate for the quarter was 4%. The lower rate was primarily a result of a tax benefit from the impact of stock price appreciation on our equity based compensation that settled in the quarter. We expect the effective tax rate for full-year 2019 to be between 20% and 25%. Moving to the balance sheet, our cash and marketable securities balance decreased slightly during the quarter, ending at $809 million. Total debt and finance lease obligations, principally related to the sale leaseback of our headquarters building, which we expect will be repaid in the fourth quarter of 2019 were approximately $255 million. Let me conclude with our outlook for the second quarter of 2019. Total subscription revenues are expected to increase in the low to mid single digits compared with the second quarter of 2018 with digital only subscription revenue expected to increase in the mid teens. Overall, advertising revenues are expected to be approximately flat compared with the second quarter of 2018 and digital advertising is expected to increase in the mid teens. Other revenues are expected to increase approximately 35% largely due to the growth in our commercial printing operations and the debut of our television show The Weekly. Both operating costs and adjusted operating costs are expected to increase approximately 8% to 10% compared with the second quarter of 2018, as we continue to invest in the digital subscription growth drivers of journalism, product and marketing. And with that, we'd be happy to open it up for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question today will come from John Belton of Evercore. Please go ahead.
John Belton: Just wanted to ask a little bit about your international subscribers, maybe an update on what percentage of your basis coming international is now made up of international. Any markets that have been particularly strong, anyway to quantify the impact it's having on ARPU? And then finally, if you saw the story yesterday that Amazon may be considering -- arrangement where they find international operations for publishers like yourselves, any thoughts you have on that? Thanks a lot.
Mark Thompson: I will answer on the Amazon question. But first, Meredith, do you want to talk about international subscriptions?
Meredith Levien: I think International now accounts for 16% of total subscriptions, still growing at a rate slightly faster than domestic but only slightly. We're coming up on a year renewal for beginning more aggressive price testing internationally and that's going quite well. And as to market, we have been focused primarily in English-speaking markets outside the U.S., Canada, Australia and UK, and those continue to be strong markets for us. So I would say we're seeing more diversity around the rest of the world as well. So, it's a fairly diverse audience in terms of other countries beyond those three English-speaking markets I mentioned.
Mark Thompson: So I saw the story yesterday about Amazon. Two things, firstly, it was a story principally focused on Wirecutter, our consumer testing site, and the story said that playing that Amazon has been approaching a number of such publishers proposing to help investment in international expansion of these services. We straightforwardly don't comment on conversations with partners. What I will say about, what comes firstly, again we are very pleased with progress, didn't choose to focus on it this quarter, but it continues to perform extremely well. We do have some international licensing of Wirecutter content. And over time, I think definitely consider whether there are ways of building an international business for Wirecutter alongside it's growing in a very successful domestic business. But I want to say that separate from the story and we should we then comment on such stores.
Roland Caputo: John, on the ARPU question, the international is not a significant pressure on ARPU, though it does have a bit of a dilutive effect, it is clearly not the primary driver in the period.
Operator: Your next question will come from Doug Arthur of Huber Research Partners. Please go ahead.
Doug Arthur: Yes, thanks. Meredith, when you look at this table that breaks down print and digital by displaying other, you continue to have very elevated growth in digital other. So, is that mostly referral and affiliate revenues or is that video, what's driving that. I know it was up strong in the fourth quarter, it's up 68% in the first quarter, so smaller component?
Meredith Levien: Sure, I'll answer and Roland, if I'm missing anything, just to and how we characterize things your way in. I think the biggest driver there is probably audio, so advertising revenue on podcast, which continues to be a big and fast growing business for us. The daily is the main driver there and The Daily is up to 2 million listeners a day, which comes out every week days that was a really big ad product. And as audience growth for it and revenue growth and it's very, very well sold through. I also think in other we have marketing services. And I would say this past quarter was a very brisk quarter, marketing services for that. So the combination of the business we drive from [inaudible] society and our original key brand business, which is essentially making which is essentially making content for marketers for driving original ideas through those services is also going very well. Well, I think that's everything...
Roland Caputo: And you have it covered. And the one thing I would add is that we are really very excited about both the creative of potential of podcast at The Times journalism, but also for a promotional prospects for both advertising opportunity and medium term subscription opportunity. And I think in the subsequent call is this year, you like to hear us talking about plans for expanding our costing commitments.
Meredith Levien: Yes, then I'll just add there and in the current quarter. We've launched more aggressive advertising for The New York Times in The Daily, and that is working really well. So we've got a series of new adds actually from daily producers. Now the work of our how we go about the craft of journalism and they're doing really well and it's helping connect daily listeners shift to the funnel for general New York Times or new subscription.
Doug Arthur: And then just two quick follow-ups. I know you're in beta on parenting, but assuming that goes well. Can we assume that the price points on that potentially will be similar to Crosswords and I can't -- blanking on the second one right now, but....
Meredith Levien: Cooking and Crosswords, I think we're not in the...
Doug Arthur: Moment once again, but…
Meredith Levien: I'll say we're not going to comment on where we'll set the price at this point, but we are incredibly excited about the launch. And today is launch day, and I'll just say, I think this is a space where we saw a real market opportunity that gives value to new parents in a way that isn't being fulfilled by other media companies and particularly by other subscription services. So we're very optimistic about parenting and the best early signal we have is we launched an newsletter -- weekly newsletter for parenting, I want to say five, six, seven weeks ago, and we've already crushed our expectations on just people signing up to get the newsletter and then actually engaging with it from week to week. And that is already in Cooking, a lot of the early success on Cooking was driven by a very successful Cooking newsletter and we are already well ahead, five, six, seven weeks in to the parenting newsletter then where we were for Cooking. At the same time and I think just generally we are -- this is our third adjacent product to core news. And so we are just, we're better at it than we were 40 years ago when we started this.
Doug Arthur: And then finally, Mark. Obviously, we're now at the launch point of The Weekly, it's been discussed for quite a while now, I know the costs are pretty much covered, is there any way you can size what the financial impact will be of The Weekly for the rest of the year?
Mark Thompson: I want to say just the one piece of guidance I will give you is that the cost are fully covered. We expect that this will be not greatly, but will produce a contribution margin this year, but the key thing in this, with this first year is proving out our ability to turn Times Journalism into a great TV program in terms of quality and to find an audience for it. So we've now seen quite a lot of video, I think, on the TV guy, I think he looks very exciting, very encouraging. So let's see how we do, but it will add both to the revenue and the cost line in ways, which I think will not in terms of adjusted operating profit make a significant difference. If it does make a difference, it will be to the good, not bad.
Meredith Levien: I'll make a comment about the medium and long-term impact that we expect to have from The Weekly, which is similar to the impact we've had from The Daily, which is helping us take a bigger position in millions more in people lives. And I'm quite optimistic about that. I think that's going to take a while to a bear fruit. But as I just mentioned, The Daily is now really beginning to drop new people into the subscription funnel for our core news, product and we expect that The Weekly should have a similar effect. And I'll just echo what Mark said, the episodes we've seen, we are incredibly excited about and can see it having the effect of just making people more interested in journalism and wanting to learn more about particular stories that we're featuring.
Roland Caputo: Yes, I think the total value to the enterprise from The Weekly, we expect to surpass what the pure accounting just on The Weekly by itself will yield, but we do expect it to be positive, but not enough to reshape our bottom line. But again, that's not really reflective of the real value to the organization.
Operator: The next question will come from Alexia Quadrani of JPMorgan. Please go ahead.
Alexia Quadrani: Thanks so much. First just on for the non-news digital subscribers. Going back to that Crosswords and Cooking have done extremely well in terms of subscriber ads, can you elaborate how we should think of those businesses in terms of, is there a lot more room to grow or is the incremental growth coming from the new verticals like the parenting you referred to. I'm trying to get a sense also about profitability, if you can talk generally about it, I assume the cost structures less than the new side, I guess anything, any color you can add?
Meredith Levien: Just broadly, I'll answer the question about where are we in the growth curve, and I would say still early in both Crosswords and Cooking earlier in cooking. But let me take each of them. In Crosswords, one of the things we're most excited about is that we are driving a lot of the growth by being able to unlock existing value and put new value into the product. So for example and I think the fourth quarter and again in the first quarter, we put new games out in beta. There is a game called Spelling Bee and there is even newer game called Letterbox that people are loving and playing very actively and not having a very positive effect on starts on uptick. So just the idea that there are more puzzles in games for the people who like Crosswords. We've got a lot of optimism about running room there and we've got really talented team of people who are very active in thinking up and getting ready to really test and release new games. So I think there's a lot of promise, I think there is also a promise in just some of the value working Crosswords itself. So one of the things, we're working on this quarter is Leaderboards, which most games have where you can probably show your score to others and get others engaged in the fact that you're playing. I think over time you'll see us do more around community and collaborative play. We've barely touched that, but there is real opportunity there. I'll also say on Crosswords, we launched our first what I would call middle funnel, so not just direct to consumer marketing effort in Crosswords I think late in Q4, early Q1, and that's been really generative for the business and modest as far as expenditures, so I'm excited about that. And I would say all of the same is true for Cooking and it's just worth pointing to Cooking as a less mature product. So you could argue, there is even more running room there and I would say that's on some of the basic stuff like and I would say that's some of the basic stuff like just more valuable recipes, we had a really big hit in the first quarter, Sam Sifton's no-recipe recipes. That's just gotten a ton of traction, and you could imagine many more things like that. We've got a newsletter on week night meal that's like just at the beginning, but getting a ton of traction. And then the thing I would say, we're not great at yet in Cooking and you're going to see a fair amount of product work in the coming year on this, is actually getting people to use the product, while they are cooking, we see a lot of room to improve there. And then, the last thing I'll say is as with Crosswords, marketing in the middle and arguably for Cooking at the top of the funnel, just being able to use paid marketing to create demand is also having a very positive effect. We really exceeded our own expectations in the first quarter on both businesses, but particularly on Cooking, we think marketing played a role. And I'll just say, because you're asking about profitability. We're finding, we can spend relatively modest sums of money to drive a lot of marketing energy and demand creation on both products.
Roland Caputo: I just want to say Alexia that the total economic value of these platforms, also you should also think about synergies via bundling, via the fact the both Crosswords and Cooking provide a significant very valuable content back into our core, I'd just take single example of the mini Crossword as a habituation on our smartphone, news product has been really valuable. You should also think about how these products relate, not just to the core, but to Wirecutter something we haven't yet fully developed is the addition of Wirecutter, a product I'll review a recommendation layer, which certainly that doesn't really have a relevance in Crosswords. But in Cooking, we think could be really quite interesting and similarly with parenting and in the other products, more products as it will potentially to come after these one. So our strategies for products, which make a lot of senses as commercially as stand-alone products, but which can both work with each other and also work with the core to build a constellation of products, which are worth more than the sum of the parts.
Meredith Levien: I'll add two more things to that. It was nice to see both in the fourth quarter and in the first quarter, all three products doing quite well. So, exceeding growth expectations on all three and I would say, clearly proving out that we can do that with no product coming at the expense of another, which I think speaks to a very broad audience of people for whom The New York Times doesn't yet play a meaningful role in their life and actually a real opportunity there. And the related thing I'll say and something that we usually get asked about on the call and then I'm excited about is slow moving, but we are seeing over time, the total audience and subscription base for The New York Times becoming younger and more female and more from the center of the country. And I think products like Cooking, Crossword, other games, Parenting, all contribute to that effect.
Alexia Quadrani: And can I just ask about marketing, you brought up a couple of time. I understand, marketing spending is up this year, but could you dissect a bit, I mean, how much is how much is the promotional spending fit into that mix? And I guess more specifically how reliant and I know there's a lot of components. So it's probably not easy answer. But how reliant are you or maybe how successful is another way to put it, are you on the promotional spending driving the sub growth?
Meredith Levien: Yes, so let me tackle that broadly first and then and get at the second question. Roland, you should fill in any gaps I have here. But I think in general the story on marketing for the last now two and a half years has been going from complete total expenditure on direct response to spending more, but spending across the whole of the funnel and really quarter-over-quarter is shifting more and more of that mix to middle and the top of the funnel. And I would say now that is the case across core news and Cooking and Crosswords. Obviously, we spend much more significantly on core news, but the patterns look similar and just to say what I mean on that middle of the bottom of the funnel is traditional direct response. We've got a promotion, we're trying to convert through that add to get some of each buy a subscription. What we're doing more and more of it mid and higher funnel work and we would say middle funnel work is getting people to move up and meter count. So you've seen these stories, can we get you to see other stories. I mean it's getting people to engage in behaviors that we know contribute to a relationship with the times and ultimately subscription but over a longer time horizon. So what is that that's getting people to register and come back and log in, that's getting people to download the app or to sign up for an email. And I would say that's all middle funnel work where you've seen us be more active. And then I want to say we are very excited, we continue to be very excited about and proud of the work we're doing at the top of the funnel. But I think core news and now more recently in Cooking where we have released a television commercial and that work is really about the longer-term effect of demonstrating to people how our journalism or cooking product is bit different and worth paying for. And I would say we look very closely at the return on the whole of our media mix across the funnel. And while, the middle of the funnel takes longer to pay back, then the bottom of the funnel and the top of the funnel takes longer than the other two. We are pleased with what we're seeing in terms of payback. And I think over time you'll see that payback, particularly as we move up the final funnel even more. The second thing, I will say, which is your second question is, how should you think about it over time, we have been saying on this call and very broadly and inside the building that the most important commercial work, we're doing now is to get the product itself to be the primary engine and a far better engine of getting people to form a habit and ultimately pay and stay with us. And by that we mean doing the work on shipping the software that helps people discover the content that's going to have the most value to them and want to come back again and again. And I think, as you know, as time goes on, I think you'll see us get better, that we've already gotten a bit better at that, and I think we have lot of room to get a lot better at that. And ultimately that means that your marketing gets more efficient, because you've got a better engine in the product itself to convert people and to get them to form a habit pace.
Operator: The next question will come from Kannan Venkateshwar of Barclays. Please go ahead.
Kannan Venkateshwar: So just a few from me. I mean, the first question I guess is ,as you go into the rest of the year, you will start lapping promotions from last year. I mean the first set of promotional cohorts that came in I think in September. So just wanted to understand how you're thinking about that transition, because obviously some of these subscribers will get stepped up quite substantially. So what's the plan essentially to manage churn on that front?
Mark Thompson: So, and it's worth saying that Kannan we had some promotions similar to the domestic promotions from September, internationally before then and we're already further advance was in some territories around the world. Well, I mean, firstly I want to say with three months on since the last earnings call, I can report again that we're seeing very good retention of these cohorts as they mature through that for the first year, and I wouldn't say there's nothing in the behavior we're seeing, which looks different from earlier cohorts of retained well. We are doing exactly what you think within what we are developing tactics and we will be, as we were ready as this group migrate to attempt to make intelligent decisions about what's the best way of treating each each subscriber. We have some tests out in the market. And to state the obvious, this is the very significant dollar weak domestic offer is new and some extent not just you but we are also going to go through the process of a year's anniversary and we'll find out in the real world how that plays out. But I think it will be very prepared, we've done a lot of testing already and lot of thinking about it. And I would say that as things stand currently, we've got no reason to be anything other than confident that we can handle the year maturity of this business cohort effectively, Meredith?
Meredith Levien: I think that's right. I'll add two things, we had a very large number of people on a 50% off promotion just after the election of 2016 and did a ton of careful work to test our way into figuring out the best way to set those people up to full price and exceeded all our expectations in doing that. So we've done a version of this before. The other thing I'll say is we've really advanced and sort the lot more room to go, but have really advance in our understanding of what engagement behaviors correlate to renewal and to return, and we are both better at how to stimulate those engagements behaviors far better than we were say a year ago or two years ago, and better propensity modeling to know how to treat someone stepping up in full price. So just giving a little more detail around what Mark said, but I'm probably optimistic and it's worth saying we are, a year in on having done this internationally and we're not seeing anything other than what we would expect and hope to see in terms of those renewal rates.
Kannan Venkateshwar: That's great. And the second question is, I guess when you look at the promotional structure right now you have a $2 per week promotion beginning at the month and I think that moves over to $1 a week later in the month. And I think if I'm not wrong, this has been around now for at least two quarters. So compared to the beginning, when you started this plan versus now, are you seeing people basically wait longer in order to get to $1 offer versus maybe, the first time, we launch the offer, when people were on the $2 plan. So how should we expect that transition to play out on the impact on ARPU going forward?
Mark Thompson: I mean, I have to say, to state the obvious, Kannan, we appeal software intelligent people. We've always had the experience. I mean, literally going back to the opening months, I think of the pay model, the consumers are smart about thinking about sales period. I mean the other obvious point is the beginning of every month, people on average will have a nil or low story count and as the month progress, because they think that sets the start of each month, as the months progresses the story goes up, our sales have been or special offers have always been timed to the latter part of the month, because that is the time when it is most likely that people are repeatedly hitting the pay gate. So the basic pattern of many of the digital ads in a given month coming in the second half of the month and indeed in the closing days of the month is an established pattern has been pretty much certainly since I've been here, which is late 2012, early 2013.
Meredith Levien: But the the three things actually that we're getting better at day by day are propensity modeling to understand how to present offers to people. So based on what we've seen from their engagement, so far with what's the offer, they are most likely to take. And that means, that has a positive effect on conversion. And the second thing that I would say we're getting better at is literally just how we articulate the offer, $2 is not always articulated that way, there are other ways to present and articulate it. And I think we've still got some running room in optimizing just our messaging there. And then Mark alluded to this, but I'll say in more directly, we're getting better at managing the right cocktail of flexing the meter up and downs as we do this as well. So for example, during the three day period around World Press Freedom Day, which I think last week, and we opened the meter to encourage people to come experience our journalism and then we tightened back up at the end of that. And just actually being able to do all of those things together and in concert and understand their collective impact is something we've gotten better at, and I think can continue to get better at.
Kannan Venkateshwar: Thanks for that. And one last question from me, which is on all these new products which is Cooking and Parenting and Crosswords for example. The subscribers were coming in on these products, are these new subs were also adding on additional products or are these just completely new cohorts that you're bringing into the ecosystem and how successful have you been in migrating them up to the news product if it's the latter group?
Meredith Levien: I think it's a mix of things I would say in Cooking, we are generally pleased to see that will bring a lot of new people into the mix. And we are barely scratching the surface and cross-promoting the rest of The New York Times and I think there is real running room there both in bringing in many more new people and also getting them into other Times products. In Crosswords they're slightly to somewhat more likely to be existing Times customers to some of the point Mark made earlier about thinking about this is a holistic bundle and winning more share of wallet from people. So just as an example of that, one of the best channels we have to get people to buy Crosswords is when they have bought the core news products, so and fairly close in that time. But I think we see a lot of opportunity to cross-promote of across products and into the core, and also an opportunity to bring new people into The New York Times.
Harlan Toplitzky: So it's also worth always remembering that by far the biggest source of new subscribers in New York Times is our core news product. That very far from saturation of this product is growing right now stronger than most of the time we had to play model other than Trump bump, although we're very, very pleased to get new subscribers from the new products. We're also very happy when we up sell the new products to existing subscribers. Our biggest source of new subscriptions remains the core news product.
Meredith Levien: And at this point we don't imagine that changing. So we intend or expect for that to continue to be the dominant product and a growing one.
Operator: The next question will come from Vasily Karasyov of Cannonball Research. Please go ahead.
Vasily Karasyov: Thank you very much. Good morning, I have a clarification and the question, Mark in your prepared remarks, you said that in Q2 because of seasonality, you expect a softer growth rate, I believe, can you please specify, you're talking about growth rate of the subscriber base or sequential decline in net adds and are you talking about all digital subs or news subscribers? And I think you talked about reacceleration, what you expect after that?
Mark Thompson: I don't think I want to say much more than I was referring to the number of new subscribers, principally thinking about core news product. I don't think we have enough information to be sure about seasonality in the other products, so there is some seasonality in Cooking as well. So this was suggesting a reduced growth rate, in common with previous years, nothing, there's no more to be certain and Roland gave you actually precised or more precised guidance on the revenue side from this. This was simply saying that something, which I think people who follow us are very used to of Q2 being a more muted quarter for digital ads than the other three quarters, with somebody saying no more than we expect that seasonal pattern to continue. It doesn't mean by the way that we're suggesting, we're going to go in reverse. So we'll still end up with very probably significant number of net new subscribers. It's just Q2 in '19, we think is likely to resemble Q2 in '18, '17 and previous years.
Meredith Levien: And toward adding the detail there that is always a much slower quarter for student subscriptions, which still play a meaningful role and we always see a bit less demand in the second quarter.
Vasily Karasyov: Okay. Interesting. And then I have a multi-part question, if I look at the release and what do you guys said in your prepared remarks. So we see marketing spending still growing ,but came in below expectations. And then in the release you said, but you continue to optimize the business in order to get to the 10 million subscriber target by 2025. And also at the same time, I believe this is the first time when the new subscribers went down sequentially in Q1 versus Q4. So would it be fair to say that you may be seeing less returns on the marketing spending and now you believe that the next growth in new subscribers will be through product improvement and optimization like technologically, the interface, search function, and multimedia. So can you give us an idea where you think we are in terms of what is driving subscriber...?
Roland Caputo: I'll start. I just want to make our -- I'd like to make clarification, which is, we didn't say that our marketing cost came in under expectations. We said our total costs came in under expectations, so in a right way I think you want to understand that fact, not that it was marketing. And I think I think Meredith actually answered this question earlier in the call very well when she discussed the types of levers we're looking at in terms of our product that we believe over time not immediately, but over time, we'll start to feather in and start to change the ratio or the gearing between our marketing spend and our spend on product and the results we get from that. So maybe Meredith can reiterate some of that.
Meredith Levien: Yes, I'll just say that the simple way to say is the 130 million or 140 million people who come to us every month and only 4.5 million who pay us. And there is a giant opportunity on our web story pages on the desktop story pages on our app to actually make our own platform through features and value to the better engine of what gets people to form a habit pay and stay, which over time should have the effect of lifting conversion, lifting conversion and engagement while optimizing audience. And that means either over time your marketing spend gets more efficient or you are able to spend more at the top of the funnel for the longer-term or potentially you do less of it.
Mark Thompson: And just to reflect on the Q4, Q1 point you made, it's worth remembering that the Q4 was a pretty exceptional news quarter not least with the mid-term elections. I don't regard be the comparison between 172 or whatever it was and 144 has been significant in terms of the overall track of the model.
Operator: The next question will come from Craig Huber of Huber Research Partners. Please go ahead.
Craig Huber: Thank you. I want to ask a question here on the cost if I could first. If we take out marketing costs in the first quarter, what was the percent change year-over-year for the remaining costs please like it can be also take out the commercial printing new contract?
Roland Caputo: Well, if you start here, if you just look at the production cost right because marketing is in SG&A, so if you just looked our results on production cost alone, you would see it was up about 8.9%, about half of that was due to commercial printing, which we aren't full bore in Q1 of '19 and have not started up yet as of Q1 of '18.
Craig Huber: Then what about the SG&A line that if you take out marketing there, what's the percent change there, please?
Roland Caputo: It's basically all marketing.
Craig Huber: And then switching over your podcast The Daily was roughly 2 million listeners. And so I'm just curious, how successful you've been here monetizing those folks, basically up selling them to buy your digital products, the news only product in particular, it seems like a big opportunity long term for you guys?
Meredith Levien: I would agree, it's a very big opportunity long-term Mark alluded to that before. I think it's a successful and growing ad business with the potential to be even more successful in the year and over time, but probably in the long view, even more important as a driver of making our journalism play a bigger role in people's lives and ultimately getting them into our subscription funnel. And I'll just say the thing that I mean there are many remarkable things about The Daily, but at 2 million daily listeners. It's more listeners than the weekday paper ever had subscribers, which is in and of itself and sees the audience is substantially younger, more likely to be female I think 75% of them are under 40 and the listen through rate, I'm sure there's more technical term for that is amazing, so most people who listen to The Daily listen to the whole daily and so, we really...
Mark Thompson: Which is essentially 20 minutes of engagement on a smartphone is an astonishing number, nobody looks at smartphone engagement and the generations is astonishing a right time to have someone's attention from a smartphone device or indeed one of the in-home echo or Google Home Devices.
Meredith Levien: So I'll tell you the ways we are beginning to -- you've seen us publicly begin to leverage The Daily more effectively and that will give you a sense of what we might do over time. One, it is the parent of other programming that really becomes at -- it can become ahead quickly, so we launched the Caliphate series, which is both critically acclaimed and also successful as a commercial product, which was our series, Rukmini Callimachi following ISIS and terrorism broadly. That was a special series that was launched in the feed of The Daily and because we were able to call intention to it from The Daily. And then of course begins the quality was so good, it's made by the same team. That makes The Daily, that's a good representation of what you could imagine us doing with other shows. And then I mentioned earlier, but it's worth saying again we've begun -- The Daily is a very successful paid ad product with even more room to be successful in year. But it is also proving to be a successful place for us to run our own and that help people understand how the journalism that we do at The Times is different than worth paying for and the spot that you listen to them for our own products, you're really about the craft, and they're done by The Daily producers. And I think the container of The daily is like a uniquely good place to be able to extend that message and we're super excited about that. And I would say all of this is like just at the beginning. The last thing that's worth saying is that the use case for audio journalism is giant, if you think of all the things that people can, the places or spaces in people's lives where they can listen to quality journalism versus read or watch it and we just think it's a giant use case.
Craig Huber: And then also the agile question here, is your company given away too much of your content away for free. I want to ask along that line Meredith, is there any internal talk about tightening up your table further here and/or ask people to register to be on your news website for example, I know you've talked this in the past, so where is that for discussion at now? Please.
Meredith Levien: Yes, I mean, I would just broadly say, the level of influence that The Times has been able to achieve for its journalism is first because of the quality of the journalism and how different it is in some from everything else out there, but it is also because we've been deliberately porous in our model and for mission reasons and to continue to see that we can we create demand for that journalism. I expect we will always have porosity in the model. We've been very aggressively testing all different things related to the pay model, many of which you would have been able to see in the first half of this year, so far so we've tested and I mentioned this before, being more flexible in different periods of the month or tied to moments in the world on the meter itself. We've been testing different versions of free trials. We've been testing exchange registration and login for more access to the journalism in the spirit of having people make a relationship or begin a relationship and non-paid relationship with us with the idea that we can better engage them in the journalism over time and we've got some tests lives right now around truncation. And I would say all of these presented opportunity for there to be a cocktail of things that we do that and more deliberately balance porosity and friction and we'll have more to say about that in future quarters, but I would not imagine The New York Times that doesn't continue to have sufficient porosity to see that our influence continues to be as high as this.
Mark Thompson: What is absolutely clear Craig, we announced three months ago any targeted to reach 10 million subscribers to get past the 10 million milestone in our subscribers 2025. We very clear that to do that, we're going to be greater acceleration and we're going to be to get many more subscribers a quarter per year, then we are at the moment and the test that Meredith is talking about are very much aimed at finding ways to do that. So again, I'd say in as we exited this year, and in the coming quarters I think you'll hear us talking more about how we are planning to do that.
Operator: This will conclude our question and answer session. At this time, I'd like to turn the conference back over to Harlan Toplitzky for any closing remarks.
Harlan Toplitzky: Thank you for joining us this morning. We look forward to talking to you again next quarter.
Operator: The conference is now concluded. We thank you for attending today's presentation. You may now disconnect your lines.